Beth DelGiacco : Thank you. A press release was issued earlier today with our half year 2020 financial results and second quarter business update. This can be found on our website along with the presentation for today's webcast. Before we begin, I'd like to remind you on Slide 2 that forward-looking statements may be presented during this call. This may include statements about our future expectations, clinical development, regulatory time lines, the potential success of our product candidates, financial projections and upcoming milestones. Actual results may differ materially from those indicated by these statements. Our genus is not under any obligation to update statements regarding the future or to conform those statements in relation to actual results unless required by law.  I am joined on the call today by Tim Van Hauwermeiren, Chief Executive Officer; Keith Woods, Chief Operating Officer; and Eric Castaldi, Chief Financial Officer. On Slide 3, you can see our agenda. Tim will be highlighting recent milestones including the positive Phase III ADAPT data we reported in May, and the progress we've made in our ongoing efgartigimod programs and additional indications.  We announced a change in our development plan for cusatuzumab this morning, and Tim will update you on the reason for that shift in strategy. And he will close with an update on our earlier-stage programs, including those that are wholly owned and partnered. Keith will then provide an update on our commercial preparation, and Eric will share our financial results. We will then close with a Q&A session. I will now turn the call over to Tim.
Tim Van Hauwermeiren : Thank you, Beth, and welcome, everyone. We appreciate you joining the call today. We are now almost six months into what we can only continue to describe as unprecedented times. I hope you and your families are staying safe and healthy. At argenx, we have been opening our organic offices on a restricted basis as we watch the data on the number of coronavirus cases in Belgium.  We continue to keep our work-from-home mandate in the U.S. and Japan. Throughout this virtual work environment, our team has kept to its high work standards to minimize disruptions to our business as best as possible. For this, I must share my gratitude to the entire team in navigating this new normal.  On Slide 4, I would like to highlight some of the significant milestones we have achieved virtually as a team, all of which will be covered in more detail later in the call. We executed a key Phase III data disclosure with the top-line readout of our ADAPT trial, including a subsequent financing to support our first commercial launch and the advancement of our differentiated pipeline.  The data from ADAPT showed that efgartigimod has a promising therapeutic profile with robust efficacy and tolerability and the potential to offer individualized dosing to patients. These results, along with our having enrolled ADAPT ahead of pace, have further strengthened our leadership position among SGRM antagonists.  We have also worked hard to stay on track with the filing of our BLA to the FDA expected by the end of the year, and our filing in Japan in early 2021. That, plus our long-term open-label extension study has had a high retention rate and continues to provide us the safety data we need for our regulatory filings.  Our clinical operations team has been able to open new trial sites at an impressive space during the last few months including those for our ITP and CIDP trials. We have implemented important measures into these trials to adapt to social distancing requirements and the challenges patients face in visiting sites in person.  We quickly enabled our ARGX-117 complement inhibitors to be studied in COVID patients and will continue to be nimble should a second wave of the virus come to Belgium. We are also ready to start our planned Phase I trial of ARGX-117 in healthy volunteers any day.  Throughout the last six months, we have been able to maintain all our activities by creating a safe work environment for these essential employees. This has allowed us to keep discovery efforts on track. And finally, the positive Phase III ADAPT data readout was a key gating event for us to accelerate our transformation into a commercial organization. This includes the ongoing expansion of our team to prepare for the anticipated U.S. and Japan launches of efgartigimod. We have been fortunate to make a lot of excellent hires recently.  And of course, our increasing commitment to the physician and patient communities has remained a top priority during this time through virtual engagements. Slide five. Before I transition to the rest of our business updates, I'd like to say that while COVID-19 has presented a multitude of new challenges over the past few months, we continue to demonstrate our functional agility to adapt as needed. We will not be a company that accepts delays without finding ways to think and work differently and to combat the unforeseen obstacles we are facing.  We remain sharply focused on executing our 2021 vision to be a fully integrated immunology company. This is driven by preparing for a successful launch of our first product, executing on our differentiated pipeline of early and late-stage development programs and building out our pipeline through our immunology innovation program, which is on track to yield ARGX-119 later this year.  This will be our tenth pipeline asset that is either wholly-owned or in the hands of a partner. Let's first talk about efgartigimod, our first-in-class FcRn antagonist. On Slide 6, in May, we were thrilled to report positive top-line data from the Phase III ADAPT trial, which showed us efgartigimod was well-tolerated and able to drive deep responses that support our plans to offer individualized dosing to MG patients.  We plan to show the full ADAPT data set later this year at a medical meeting. These meetings are all shifting to virtual and adjusting their programs as necessary, but as soon as we have our confirmed plan, we will share it.  To quickly summarize the top-line results, on Slide7, ADAPT met its primary endpoints with 67.7% of acetylcholine receptor antibody positive gMG patients, which were responders on the MG-ADL score, compared with 29.7% on placebo with a P value of less than 0.0001. We define a responder as having at least a 2 point improvement on the MG-ADL score for at least four weeks or for five consecutive measurements. This was a pretty high bar for the primary endpoint, since we included this durability component. We confirm this efficacy response on the QMG score as well with 63.1% of antibody positive patients responding to efgartigimod, compared with 14.1% on placebo on the QMG score with again a P value of less than 0.0001. To be a responder, patients needed again a 3 point improvement for five consecutive measurements.  On Slide 8, we saw better response as measured by minimum symptom expression or reaching an MG-ADL of 0 or 1. This is an important measurement for patients and physicians, because it means that patients are generally symptom free. 40% of efgartigimod treated antibody positive patients achieved minimum symptom expression, compared to 11.1% treated with placebo.  We also showed that patients responded quickly and some for an extended period of time. Of the 44 patients who were efgartigimod responders, 84.1% had a fast response initiated within the first two weeks.  Additionally, 88.6% of patients who reached the primary endpoints achieved a response for at least six weeks, 56.8% for at least eight weeks and 34.1% for at least 12 weeks.  On Slide 9 response rates were consistent during a second treatment cycle of efgartigimod. Remember the 12 patients or 27% who responded in the first cycle never required a second cycle. And the start of the second cycle is dependent on the durability of the response in the first cycle.  70.6% of patients who received a second cycle respondents including 36.8% of patients who were not responders in the first cycle. We attribute some of the new responders in the second cycle to the primary endpoint definition. We had several patients that had good responses to efgartigimod in the first cycle, but did not meet the high bar of having a clinically meaningful response for five consecutive measurements.  We also saw a favorable safety profile that was comparable to placebo and a very high rollover rate from the primary 26-weeks trial to the long-term open-label extension trial called ADAPT Plus. I would like to contextualize the importance of the ADAPT data readout for our overall efgartigimod strategy. With these strong data, we are looking to disrupt treatment paradigms in autoimmunity. We know that FcRn is central to IGG regulations. So by targeting it, efgartigimod could be a logical, new therapeutic option for many patients suffering from autoimmune diseases that are driven by pathogenic autoantibodies.  In Slide 10, we currently have the broadest FcRn pipeline, evaluating four current indications in three distinct therapeutic areas. We are also planning to announce our fifth indication this year. We expect to have the first FcRn antagonist available to MG patients next year and with this approval, we can start a parallel track of investigator-sponsored trials in indications that may not meet the high bar for a registration program, but where the biology is solidly understood to be driven by pathogenic IgGs.  The ADAPT readout was a gating event to proceed full steam ahead in the preparation for our first commercial launch, the expansion of our commercial team and in our longer-term planning to get efgartigimod to autoimmune patients as quickly as possible. With that, I would like to shift to our ongoing efgartigimod trials and those that will start this year. Slide 11. It is a top corporate priority to mitigate disruptions from COVID-19, which are now impacting our ongoing trials. To do this, we have focused on several initiatives for the ADAPT Plus open-label extension trial in MG and our advanced and ADHERE programs in ITP and CIDP, where we have faced enrollment delays.  First, we are integrating telemedicine into clinical trial protocols where possible. We are also implementing home infusion opportunities for patients who do not feel comfortable traveling to infusion centers.  And finally, we are working to prioritize subcutaneous efgartigimod. We are using the subcutaneous formulation in the ADHERE CIDP trial and will be implementing subcu into ITP as well this year.  We'd like to update you on our ongoing clinical trials. In the ADAPT Plus open-label extension trial, 133 MG patients remain on study. While we cannot yet quantify the enrollment delays in the advanced or ADHERE programs, we have been pleased with our progress in opening clinical trial sites, virtually for both.  We have opened ADVANCE too for enrollments, but are also in active dialogue with the FDA to assess how best to bring subcu to the forefronts in the ITP Phase III program. With CIDP, we now expect the go no-go decision to be a 2021 event. This will happen after the first 30 patients get to part A in the trial and we see if they have a response to efgartigimod.  Remember that in ADHERE, there is a long screening period to ensure we are getting active CIDP patients. We think this disciplined trial design will pay off in getting the right patients to receive efgartigimod and to assess the percent of patients whose disease is antibody mediated.  CIDP is also the first trial in which we are evaluating the subcu efgartigimod that emerged from our collaboration with Halozyme. This collaboration has turned out to be a key strategic decision and competitive advantage. Halozyme's and hand delivery technology is well-validated with a documented safety profile across many biologics. By using this technology, we can achieve at least the same IgG reductions as with the 10 mg per kg IV formulation and this in a fast, effortless, single subcu injection. We believe this will be an important offering in each of our indications to get to as many patients as possible.  On Slide 12, for our Pemphigus vulgaris program, we will be launching the Phase III trial in the second half of 2020. We continue to be very excited about this program after the positive results we showed from the ADAPT Phase II trial.  As a quick reminder of the data, we saw that 90% of patients achieved rapid disease control by a median time of 15 and 22 days for monotherapy and combination therapy. Complete clinical remissions were observed in 70% of patients receiving the optimized dosing regimen, determined to be efgartigimod dosed at least every two weeks in combination with oral prednisone.  73% of patients receiving 25 mg per kg efgartigimod achieved end of consolidation, including patients who prefer to taper their steroid dose rather than potentially achieving a complete clinical remission. Importantly for PV patients, we also saw a tolerability profile that was favorable and consistent with data from previous efgartigimod studies.  Based on these results and on early discussions with physicians, we see how efgartigimod could fit squarely into current treatment practice to address unmet needs. We will be talking more about the Phase III program as it gets up and running later this year. Moving on to cusatuzumab on Slide 13. Today, we announced a change to the cusatuzumab development strategy, which we believe will be best aligned with a rapidly evolving treatment paradigm in AML. We'd like to first provide a quick reminder of our strategy in partnering this asset. Cusatuzumab has a unique mechanism of action, targeting CD70 and leukemic stem cells.  We recognized its potential to be broadly used across AML settings and in MDS patients. Janssen is a global oncology player and an ideal partner to accelerate and expand the global development plan we had agreed on together.  CULMINATE was the first trial launched under the Janssen collaboration, and we had two primary objectives with it. First was dose selection between 10 and 20-milligram per kilogram cusatuzumab. We achieved this and have selected 20-milligram per kilogram as the go-forward dose.  Second was to design a trial that could be registrational in the case of a stellar response rate, clean safety profile and durable responses. We knew that venetoclax data would be a high bar to this in accelerating our path to registration. We plan so that the second trial launched under the collaboration would be a Phase Ib trial of cusatuzumab in combination with venetoclax and azacitidine.  The new venetoclax has shown early potential in AML and recognized that a combination approach may ultimately be the path forward. Maturing data from CULMINATE suggests that complete response rates are not likely to exceed those from the VIALE-A trial of venetoclax in combination with azacitidine as presented at EHA in June 2020.  It is too early to make a judgment on durability of response and from a tolerability perspective, the profile looks consistent with what we have seen in past trials. We currently think the best path forward for cusatuzumab is to study it in combination with venetoclax to challenge the emerging standard-of-care.  This strategy is supported by positive KOL feedback and by preclinical data that were presented at ASH last year showing synergies between cusatuzumab and venetoclax. We hope to amplify the venetoclax response rates to extend the duration of the responses and to provide a tolerable therapy based on early data we have seen.  We expect the registration strategy for cusatuzumab to be determined as we continue to evaluate maturing data across the cusatuzumab program and AML treatment landscape. The CULMINATE trial alone is unlikely to form the basis of a BLA submission. This means that we will not be enrolling more patients into CULMINATE beyond the 103 already enrolled.  We will be prioritizing the Phase Ib trial of the triple combination of cusa with venetoclax and azacitidine. The trial had been on hold due to COVID-19, but is enrolling again at initial sites, as well as new sites. You can see on the slide that the MDS trial remains paused and the ongoing trial in Japan, which was not paused due to COVID continues to enroll.  We cannot provide detailed data today, since they are still maturing, but we have committed to show top-line results from CULMINATE in early 2021, including our rationale for the 20-milligram per kilogram dose selection. We know this is important to you as shareholders, and we are working with Janssen to make this possible.  We, of course, want the fastest path to registration for cusa, but we also want to remain disciplined in our development strategies to ensure we are running files that make sense within the current treatment environment. We believe that by taking a combination approach, we are moving forward in the best possible way to disrupt the AML treatment paradigm.  We would now like to shift quickly to our other development programs, including our wholly-owned assets, ARGX-117 and ARGX-118 and those fully in the hands of pharmacists.  On Slide 14, as I mentioned earlier, we are ready to dose the first healthy volunteers in the Phase I trial of ARGX-117. This trial delayed due to COVID, but will not be starting imminently. We believe that by targeting C2, ARGX-117 could be a pipeline in the product against severe autoimmune diseases in the neuromuscular space and possibly in kidney or heme as well.  With the Phase I trial, we will assess PK/PD free C2 levels for dose selection, bioavailability and ADA. We will also look at safety and tolerability. Our plan is that once we identified a dose from the Phase I trial, we can launch parallel trials in autoimmune indications.  We have already identified an initial indication, multifocal motor neuropathy, which is a rare, typically progressive neuromuscular disease that can greatly impact the quality of patient's life. Also know that Complement plays a key role in acute respiratory distress syndrome, associated with COVID-19. This has shown to be a deadly complication of the infection.  We are working with our immunology innovation program collaborated Bart Lambrecht to make ARGX-117 available to COVID patients at the Ghent Academic Hospital. This is currently the only site for the trial, and thankfully, there are no longer many available COVID patients in this region.  We will continue to move forward with ARGX-117 development plan in healthy volunteers, and should there be a second wave of covered in Belgium, we will make the drug available, possibly with more in-human data at that point. We are also making progress in selecting a lead for ARGX-118 and are preparing to announce ARGX-119 this year.  On Slide 15, as you know, our immunology innovation program has also been a productive engine for assets, which we have partnered. ARGX-112, which is now LP 0145 in the hands of LEO Pharma, they had paused a Phase I trial in atopic dermatitis due to COVID, but are preparing to reopen sites later this summer.  ARGX 114 is now AGMB 101 in the hands of Agomab and ARGX-115 is now ABBV 151 in the hands of AbbVie. We do not have any update on these molecules today, but you will recall that AbbVie did not paused that trial in solid tumors due to COVID. So this study remains ongoing.  We also recently learned from Staten that they initiate a dosing in the first-in-human trial of STT-5058 targeting apoC3 for the potential treatment of dyslipidemia. This was formerly ARGX-116. Our commitment as part of our argenx 21 vision is that we will continue to prioritize our immunology innovation program, even as we become a commercial organization.  In being a fully integrated immunology company, we want to be as much a commercial organization as an R&D engine. With that overview, I will now turn the call over to Keith for a discussion of our commercial readiness.
Keith Woods : Thank you, Tim, and good morning, everyone. Please see Slide 16. Today, I want to give you an update on some of the ways in which we are preparing for a successful launch of efgartigimod in the U.S. in 2021 and in Japan, following the U.S. launch. We've been providing you updates on our commercial preparation for over a year now.  But following the positive Phase III data readout, we have felt a dynamic shift in the work we are doing to get efgartigimod to patients as quickly as possible. I can tell you today that all commercial preparation activities are on track across each of the key work streams.  As a first step, we are right on track with our BLA filing to the FDA and with our JMAA filing to the PMDA in Japan. The BLA will be filed by the end of 2020 and the JMAA in the first half of 2021. This will be a rolling submission allowing for us to include longer-term safety data from the ADAPT Plus trial as we have it.  We additionally are planning to meet with the FDA in the fourth quarter of this year to talk about our subcutaneous formulation of efgartigimod and how we can initiate a bridging strategy to get it into MG patients as soon as possible. This is a top corporate priority. We are right where we need to be in terms of supply chain preparation.  We have a long-established alliance with Lonza and manufacturing for efgartigimod is currently out of two different locations, one in the U.K. and one in Singapore. We will be ready with our commercial inventory in time for both our U.S. and our Japan launches. We also have the scale-up potential to expand our manufacturing capacity to a third location in the U.S. as we reach even more patients and more geographies.  We have entered into collaboration with Cardinal Health as our U.S. third-party logistics partner, and in the process of building a strategic and patient-centric network of specialty pharmacy and specialty distribution partners to ensure broad access.  Additionally, we are in the early phases of engaging with U.S. payers and will continue these conversations as we progress to launch. Our interactions with physicians continue to be a top priority, and we have been able to engage with them virtually over the last several months.  In sharing our ADAPT data with the physicians, we've heard positive feedback on the potential for an individualized dosing approach since patients with myasthenia gravis have different courses of disease and would benefit from a treatment option that is purpose fit to this variability.  On Slide 17, we know that in the U.S., there are 16,000 neurologists who actively treat 65,000 adult MG patients. Of those 65,000 patients, 20,000 with generalized MG. 20,000 of them will likely need treatment beyond steroids and other current options. This is what we see as the target addressable market for efgartigimod in the U.S.  In Japan, there are about 20,000 total MG patients that suffer from MG and are treated by 200 to 300 neurologists. For physicians, we can't underestimate the importance of education when it comes to launching a first-in-class drug with a new therapeutic modality. We will be educating on the crucial role of the antibody and MG, but also on the central role of FcRn in modulating IgG homeostasis.  Our field force will be instrumental in reaching our target physicians. We have already hired an expansive team of medical research liaisons that specialize in the neuromuscular space. This team was crucial during our Phase III trial to be a resource for investigators. As we approach launch, they will continue to be a resource for an even broader community of neurologists.  We additionally have a growing team of thought leader liaisons that build relationships with the top MG physicians and support our marketing efforts. We'll start to hire our sales force during the third quarter of this year and expect to have 70 to 80 representatives for our commercial launch.  On Slide 18, all of our preparatory work to successfully launch efgartigimod is ultimately about reaching patients who continue to suffer the effects of MG. We hear from patients about the severe and sometimes life-threatening symptoms of MG. As argenx continues to grow its presence within the MG community, we want to build awareness of the key unmet need that still exists.  To accomplish this, we have launched a digital disease awareness platform in June called MG United, offering personalized information and resources for those affected by MG. This is the first of many initiatives that will be available to the MG community. We have also been working closely with the myasthenia gravis foundation of America to be available to patients during the COVID-19 pandemic.  People living with MG already experienced feelings of isolation and the social distancing requirements only amplifies this. Given the number of COVID cases we continue to see, we are planning for a fully virtual launch if necessary. We are grateful that we have had time to acclimate and learn from virtual interactions with each of our key stakeholders and think that this will help us prepare for a successful launch in any setting. With that, I'd like to hand the call over to Eric for a review of our financial results.
Eric Castaldi : Thank you, Keith. Slide 19 covers our half year 2020 operating results, which are detailed in today's press release and regulatory filings.  Total operating income for the six months ended June 30, 2020 was EUR31.1 million, a decrease of EUR20.2 million from the same period in 2019 due to a milestone payments we received last year under the AbbVie collaboration agreement, and partially offset by the revenue recognition of the transaction price related to the Janssen collaboration and an increase in other income driven by higher payroll tax rebates.  R&D expenses for the six months ended June 30, 2020 were EUR171.7 million, compared to EUR78.3 million for the same period in 2019. Selling, general and administrative expenses were EUR61.6 million for the six months ended June 30, 2020, compared to 27.5% - sorry, EUR27.5 million for the same period in 2019.  These increases in R&D and SG&A expenditures over the prior year have been driven by the progress made within our late-stage pipeline, including higher consulting and personnel expenses, higher clinical trial costs and manufacturing expenses and also the recruitment of additional employees to support ongoing activities. We expect operating expenses to continue to increase this year, as we further advance our pipeline and prepare for future commercialization. For the six months ended June 30, 2020, financial expenses, which primarily relates to interest received and changes in fair value of current financial assets amounted to EUR2.2 million, compared to a financial income of EUR7.2 million for the same period in 2019. Exchange gains totaled EUR0.2 million for the six months period ended June 30, 2020, compared to EUR2.5 million for the same period in 2019.  The total net loss for the six months ended June 30, 2020, was EUR205.6 million, compared to a net loss of EUR45.1 million and an operating loss of EUR54.5 million for the same period in 2019. We ended the first half of 2020 with EUR1.9 billion in cash, cash equivalents and current assets, compared to EUR1.3 billion on December 31, 2019.  The increase was primarily due to the closing of a global offering including the U.S. offering and a European private placement resulting in the receipt of EUR730.7 million net proceeds in June 2020. I will now turn the call back to Tim.
Tim Van Hauwermeiren : Thank you, Eric. Before we open up the call for questions, I would like to turn to Slide 20. We are very excited by what is ahead of argenx. We are focused across the company on the filing of our first BLA and the launch of our first drug in the United States.  As we shift to be a commercial organization, we are committed to further building out our differentiated pipeline of antibody therapies, both by advancing our ongoing clinical trials as quickly as possible and by identifying new value creation opportunities through our immunology innovation program.  With a cash position of EUR1.9 billion and a strong and rapidly expanding team, we know we are in pole position to execute our business plan to generate value for our shareholders in the long-term. We continue to be inspired by the resilience and hope of our patients and believe we are closer than ever to reaching them through our commitment to immunology innovation. With that, I will now ask the operator to open the call for your questions.
Operator: [Operator Instructions] First question, it's from the line of Derek Archila from Stifel. You may ask your question.
Unidentified Analyst: Hi, Bill on for Derek. Thanks for the update and taking the questions. So just on cusatuzumab, can you just remind us whether or not the update has any impacts on the terms of the deal with J&J? And then, sort of on the Phase Ib, can you talk a little bit about how in the evolving landscape of AML, you sort of think the bar will be in the combination study with Aza and venetoclax? Thanks.
Tim Van Hauwermeiren : Thanks for the question and thank you for being with us today. So, the strategy change, which we announced today is not affecting by any means the terms of the deal. Actually, the way you have to look at the global development plan, which is an intrinsic part of the contract is that there is nothing else than a decision tree, which we can navigate based on data.  So with this new data point from VIALE-A coming in, we know that in our strategy, we have to give a priority to the Phase Ib study where we combine with what is now likely going to be the future standard-of-care. So where is the bar? Well, we know that VIALE-A had a 37% CR rate and a 15-month overall survival, which is a benefit of about five months compared to Vidaza alone.  And while venetoclax Vidaza has shown strong data to induce CRs, the question remains how you can keep people in a stable remission. So, the bar to be beaten will not just be in terms of CR rates, but also in the durability of these CRs and the safety of the combination.
Unidentified Analyst: That makes sense. Thanks.
Tim Van Hauwermeiren : Thank you.
Operator: Next question is from the line of Yaron Werber from Cowen. You may ask the question.
Yaron Werber : Thanks for taking the question. So, maybe a couple of questions on the subcu bridging study and the strategy. I mean, as you noted, you are going to be meeting with FDA in Q4 and both to advance it sort of in ITP, but also importantly, obviously, in MG, and the MG landscape is, as expected it's going to be a big market. There is a few competitors coming in, talking about subcu dosing.  In those cases, some potentially are going to be looking at sort of fixed interval subcu doses chronically. So thoughts about that and how do you bridge from your intermittent dosing to subcu? And is there a chance that subcu is going to be fixed or is that going to be intermittent? Thank you. 
Tim Van Hauwermeiren : Thank you, Yaron. Thank you for being with us today. Keith, would you like to take this question, please?
Keith Woods : Sure. Thank you. As we noted, that we will go meet with the FDA and discuss the bridging strategy for MG. We also are bringing subcu forward in ITT. And additionally, it's the preferred in CIDP route of administration. In regard to the exact treatment regimen that we will use in MG, we'll comment more on this after we have had our meeting with the FDA.  But as you know, from the ADAPT study, we do have individualized dosing and it varies among our various patients. So, I do see the possibility with our subcu of not only being able to use it on an individualized treatment basis, but some might be on a more fixed dose.
Yaron Werber : And do you have a sense yet on the MG strategy what the FDA might require. Is - obviously, they are going be to looking at PK, but they are going to want to look at some PD efficacy. Is it possible to do a bridging study that's got a primary endpoint at eight weeks? And maybe run a 24-week study and that's sufficient for approval? Thanks so much.
Keith Woods : Yes, I still think it's too early for us to comment on exactly what they are going to require. But I think it's fair to say that we will need some exposure in MG patients. But let's wait and see until we hear back from the FDA.
Yaron Werber : Great, thank you.
Operator: Thank you. The next question is from the line of Yatin Suneja from Guggenheim. 
Yatin Suneja : Congrats on all the progress. Just on the CIDP trial, number one, could you just comment on your expectation, given that, I think the data might be coming, hopefully, sometime next year. How much disclosure will you make, when you make the decision to expand it? And then, also, if you can comment on the relative size of CIDP in the current use of IVIg in MG versus CIDP, just to give a sense of how big that opportunity might be. Thanks. 
Tim Van Hauwermeiren : Okay, thank you, Yatin. Thanks for being with us today. So we realized that the go or no go decision point to expand the Phase II study into a registrational study is a very significant data point for our shareholders and investors. So we plan to make that decision public. And also give some view on the data. We now guide this data point is going to come in, in 2021.  This study is enrolling and actually, we are opening sites at a pretty high pace, but it's a demanding protocol. And in terms of relative size, we think that CIDP is likely representing one of the bigger markets for efgartigimod.  If we simply look at the chronic nature of the disease and the lifelong nature of the disease and the reliance mainly on IVIG, CIDP is basically a lifelong sentence to IVIg, then we think that this is going to be one of the more substantial markets. Remember that the IVIg sales in CIP, just in the United States, on an annual basis is exceeding EUR1.5 billion.
Yatin Suneja : Okay. And just maybe quickly on the financial side. Can you just help us with the spend going forward? I saw the R&D coming down a little bit in the quarter? Just help us understand how should we model the expenses G&A is picking off. Thank you.
Tim Van Hauwermeiren : Eric, would you like to take this question, please?
Eric Castaldi : Sure, absolutely. Yes. So indeed, there is a significant increase in our operating cost, as I said. And basically, we are not giving any guidelines on the cash burn, but what we can say is that we expect, as we continue to advance our late-stage pipeline that the costs continue to go up quarter-over-quarter.
Yatin Suneja : Thank you. 
Operator: Okay. Your next question is from Jason Butler from JMP Securities.
Jason Butler : Hi. Thanks for taking the question. Just had another one on cusa. Can you maybe talk about the - any of the safety data you have from CULMINATE? And I guess, that in addition to from a mechanistic perspective, how you think about the safety and tolerability in context of a triple combo with venetoclax? And then, again, in terms of CULMINATE, is there enough data there to look at molecular subgroups or other biomarkers? Or do biomarkers play into your strategy at all at this point? Thanks.
Tim Van Hauwermeiren : Okay. Thank you, Jason. These are two great questions. So, on the safety side, what we say today is that, what we're going to disclose, of course, more detailed data early 2021. And we can say that the safety profile we observed in CULMINATE is consistent and in line with the earlier safety data. So the safety profile of cusa continues to look very promising.  And this is important, because, you're absolutely right. The veneto combination comes with some toxicity. And while it's very important inducing CRs, the question is, how do you keep patients in CRs. So safety is going to be a key aspect in any future combination going forward with what we think could be the future standard-of-care, which is venetoclax file data.  And with regards subs analysis, it's too early to comment on it, but it is possible. Of course, within AML, we have a very clear view on risk classification, cytogenetics, some biomarkers. So, we will, for sure, try to further stratify the data sets coming out of CULMINATE, but we will have to be a little bit patient here because these data are, of course, still maturing.
Jason Butler : Okay, great. That's helpful. Thanks for taking the questions.
Tim Van Hauwermeiren : Thanks, Jason.
Operator: Thank you. Our next question is from Akash Tewari from Wolfe Research.
Unidentified Analyst: First, efgartigimod. Just had a question there. Would the FDA allow you to run a basket trial for indications that are predominantly driven by pathogenic IgG, but may have low prevalence, for example, myelodysplastic syndrome or good pass through syndrome and could you possibly do this in larger indications, as well? Thank you. 
Tim Van Hauwermeiren : Hey. This is a good question, and it's a question which we entertain internally in the company. We believe that after having proven the concept a number of times in the current indications where we are playing, we will be in a position to turn around and have that conversation with the FDA, I think, especially for indications, which are very high unmet need clearly mediated by pathogenic IgGs and probably too small or unethical to do a placebo-controlled or controlled randomized study.  So, this is something which we have on our regulatory to-do list. But we believe that the time is only right to do that even when we have established proof-of-concept a number of times.
Unidentified Analyst: Great. Thank you.
Tim Van Hauwermeiren : Thank you. 
Operator: Thank you. Next question would be Matthew Harrison from Morgan Stanley.
Max Skor : Hi. This is Max Skor on for Matthew Harrison. Just a quick question regarding the CIDP delay. Do you view this primarily as related to COVID 19? Or are a lot of these patients hesitant to complete a wash-out period? And also, could you talk about how you are thinking about the timing around the European application for efgartigimod? Thank you very much.
Tim Van Hauwermeiren : I will take the first question on CIDP, and then I will hand over to Keith on the European registration. But this is a good question, Max. Thank you. The CIDP timeline is totally driven by COVID-19. So, the level of enthusiasm we see for the drug candidates, its mode of action and for the protocol remains high. We do not see any issues in getting site enthusiastic about the clinical trial or physicians.  And I think the sites which are open, actually are successful in identifying and screening patients. So that does not seem to be the problem. I think the protocol is a workable protocol. It's mainly the COVID-19 situation, which is in play in the delay. Keith, would you mind addressing the European registration path question?
Keith Woods : Sure, happy to, Tim. Well, first of all, our priority, as you know, is the U.S. and then Japan. We currently are in the process in the final stages of hiring a European GM and we are outlining our strategy in Europe. This will likely be a staged approach as we determine the process of approaching the EU big 5, but also how we will expand beyond there. We have the opportunity to expand our supply chain to accommodate the additional geographies. The bottom-line is, internally, we are working forward – we are working towards an EMA submission.
Max Skor : Great. Thank you.
Operator: Thank you. Our next question is from the line of Joon Lee from SunTrust.
Joon Lee : If so, when can we expect an update there? And I have a follow-up.
Tim Van Hauwermeiren : Hey, Joon, could we repeat the question, because we missed the first part of the question? You were probably still on mute.
Joon Lee : Okay. So cusatuzumab, CD70 is becoming a very popular target and others are targeting CD70 for solid tumors and T-cell malignancies. So, do you or J&J have plans to expand beyond AML? And if so, when can we expect an update there?
Tim Van Hauwermeiren : Yes, I think you are absolutely right in the fact that CD70 is on the radar screen. And in solid tumors, we do know that CD70 is often heavily overexpressed, but we don't understand the disease biology, which is involved in that. That is the big difference with the leukemias, which called out because there, thanks to the work of Professor Ochsenbein from the Bern University Hospital, we do understand the involvement of the CD70, CD27 pathway in the survival and proliferation of leukemic stem cells.  Remember that we also ventured into T-cell lymphoma at the start of the program and we did dose escalation in Phase I. We did see some pretty spectacular responses in T-cell lymphoma and we did do an expansion cohort in T-cell lymphoma. We achieved about a 30% overall response rate. We saw very long responses in T-cell lymphoma.  But basically, we were judging at that point in time that this was insufficient to take the molecule forward in T-cell lymphoma. In general, lymphomas are part of the Janssen’s global development plan, but they will clearly follow in sequence after and the work we plan to do in AML and high risk MDS. So these two indications are prioritized in the global development plan, okay?
Joon Lee : But, so your indications outside of lymphoma and AML are years to control?
Tim Van Hauwermeiren : We have not been specific on that in the global development plan. I think what we said in public is, first is AML and high-risk MDS, then is the potential to venture into lymphomas and other indications, but we have not said anything specific about solid tumors.
Joon Lee : Great. Okay. So, just another question, for your 117 study in COVID-19, how many patients do you need to treat to get comfortable around efficacy, because others have treated as little as 10 patients with COVID-19 Rs and got sufficient conviction to move into a pivotal trial. So what's your bar for advancing in COVID-19 Rs?
Tim Van Hauwermeiren : Remember that this is a Phase I study. So we have never been in human subjects with 117 before. So actually, we need to do two things in this Phase 1. The first thing we need to do is dose escalate and establish the right dose, that means that those which is completely knocking out C2, and then we need to establish signs of efficacy.  So, think of a number of patients, which would be typical for a classical dose escalation. Although the regulator allows us to dose escalate in somewhat bigger steps given the urgency of the situation. But then you are right, I mean, in order to establish activity or an evidence of activity, you are talking about a similar number of patients, around 10.
Joon Lee : Okay. Thank you.
Tim Van Hauwermeiren : Thank you. 
Operator: Thank you. Our next question is from the line of Tazeen Ahmad. You may ask your question.
Tazeen Ahmad : And that's already have been asked. Just let me know, Tim, maybe on pricing for MG, can you just adjust a general range of what payers are – I am saying that they would be receptive to, at this stage. You've always said that you would be very competitive with the current market and how you want to price efgartigimod for MG?  And as a point of comparison, can you give us an idea of how much annually at cost per patient in the U.S. to take IVIg? And then I have a follow-up on CIDP. Thanks. 
Tim Van Hauwermeiren : Thank you. Keith, why don't you go ahead and you take a question on pricing and the annualized cost of IVIg and MG, and then I will probably take on the next question, okay?
Keith Woods : Okay. That sounds good. As you know, we are doing the homework on two fronts. First of all, is the current market dynamics, and also the value that efgartigimod can bring to the MG patients. You know that at the high-end of the spectrum in U.S., we have Soliris with a price tag of about $700,000 a year. We've learned from chronic IVIg patients that the annual therapy for them is around $140,000 a year. So, there is a lot of flexibility in pricing with MG, but we also want to make sure that we are responsible as efgartigimod being a pipeline and a product.
Tim Van Hauwermeiren : Tazeen, did you have a second question, please?
Tazeen Ahmad : Oh, I am sorry. I wanted to just also ask you about CIDP. How is this indication potentially different in terms of the heterogeneity of the patient population, let's say, relative to MG? And how does that make the challenge of determining if it's worth moving forward in this indication viable or not?  And then, secondly, let's say, another company is able to get some market before you for CIDP, if you do choose to move forward, how much is where you would be in the competitive landscape in terms of when you would enter the market going to be a decision in deciding whether to move forward in that indication or not?
Tim Van Hauwermeiren : Well, you know Tazeen that CIDP is a big indication with very limited tools in the therapeutic toolkit. So, a CIDP patient today would be mainly treated with steroids and IVIg. There is not much other optionality out there. So, even if there would be a couple of players entering this space, I think the space is pretty much wide open.  You are right in pointing out the heterogeneity for CIDP, which is true by the way for so many autoimmune indications and I think some of the confusion comes from the fact that certain people, which are labeled as CIDP patients and of being prescribed IVIg as being CIDP patients or maybe not CIDP patients after all.  That's something which we learned from the homework we did when we were designing the Phase III trial and that's why we also bought out the concept of having an independent board of CIDP specialists, which validates the diagnosis CIDP before the patient can actually enroll to the trial. So we need to read out non-CIDP patients from the trial to make sure that we are effectively treating CIDP.  And then indeed, you see that within CIDP, there are different subsets of patients, if you would try to classify them based on the nature and identity of the autoantibody. Now, we believe that all these true CIDP patients do have auto antibodies of the IgG type as was evidenced in the R&D Day by means of the plasma exchange and more importantly, the immunoabsorption data.  And that is the beauty of efgartigimod. It does not matter where your autoantibody binds or what it does as long as it is an IgG molecule, we will clear it with efgart’s mode of action. So, I think with the 30 patients go, no go decision point, we will have a pretty clear handle on what is the likely subset of patients in which we can play and whether this heterogeneity is playing a role at all if you try to treat them with efgartigimod.
Tazeen Ahmad : And then in general, Tim, is there anything that makes it difficult to enroll CIDP patients? It does seem that, for example, your competitor UCB did also said their trial has been delayed. Is it COVID-related or are there other issues too?
Tim Van Hauwermeiren : Well, we cannot speak for somebody else's trial, but what we experience is it's really COVID. We try to enroll patients in Japan, Europe and United States. This is already global from the get-go. And what you see is that really on a country-by-country and even site-by-site basis, COVID has kept the medical community very busy.  So, I think we are now really ramping up a number of sites, which we are opening and as I said before in the call, those sites which are open, actually don't find it difficult to identify patients and screen patients. So we are pretty optimistic that if COVID remains under control, that's a big if, and these sites which we are opening will be successfully enrolling the trial.
Tazeen Ahmad : Okay. Thank you. 
Operator: Thank you. Our next question is from the line of Graig Suvannavejh. 
Graig Suvannavejh : Great. Good morning and good afternoon. Can you hear me okay?
Tim Van Hauwermeiren : Yes, we can.
Graig Suvannavejh : Okay. Great. I have got two questions, please, and they are all around efgartigimod. Just first, in the myasthenia gravis Phase III study, you talked about 40% minimal symptom expression. I just wanted to ask a question about that. We've done some work with KOLs who said in their personal opinion, while 40% is good, they might have been hoping that for maybe 50% or 60% would be perhaps something that would be better.  So can you put the 40% MSC in context? So just wanted to get some color on that. And then, the second question I have is with the Phase III data behind you and as we look at next efgartigimod data events, given COVID-19, are you able to provide us with at least current expected timelines on your various readouts, whether they’d be next data sets and ITP, pemphigus and CIDP? Thank you. 
Tim Van Hauwermeiren : Okay. Thank you for these two great questions. I will give the first question to Keith in a minute to contextualize the 40% minimum symptom expression because, of course, we have been very busy learning about our data from the community. But on your second question, no matter how much I would like it, it is not possible yet to give you clear guidance on when exactly these studies are going to read out for the simple fact that COVID is not gone. I think we're still battling COVID big time in the United States. Let's touchwood, but for the moment, in Japan and big parts of Europe, it seems to be under control. But now, we are looking at a second wave of COVID, which is approaching us. So, it's pretty difficult to give you any reliable forecast on when exactly these studies would read out.  But I hope you agree with me that today, just like we did in the Q1 call, we tried to give you a fully transparent look on the studies and where we are. And actually, we will continue to do that in the next quarters. So that we can keep you closely abreast of the COVID situation. With that being said, Keith, would you mind contextualizing the 40% minimum symptom expression, please?
Keith Woods : Sure, happy to. Actually, when we've shared this data with our investigators and with other physicians in market research, they've been impressed with the 40% and found it quite compelling, because this is so meaningful to patients. I also want to remind you that this was a measurement after one cycle. So this was four doses of efgartigimod, and we obtained that 40% MSC.  We will continue to look at it in subsequent cycles and see where the numbers go from there. But, we were quite encouraged that after only four doses to have that type of a MSC number.
Graig Suvannavejh : Okay. Thanks, Keith. And just one follow-up, Tim. Just on your comments, I appreciate that it's very difficult to give guidance on the timing of the readouts. But, maybe given your visibility into where your studies are, is there perhaps one of those studies that is closer to being fully enrolled, where that might give an indication of kind of what could be next, even though you might not be able to provide exact timing?
Tim Van Hauwermeiren : No. We are not in a position to give any comment on that. And I also don't think it would be appropriate. I think we need to continue to work hard on enrolling the trials. And then look for reasonable updates in the next quarters to come.
Graig Suvannavejh : Okay. Alright. Thank you very much. 
Tim Van Hauwermeiren : Thank you. 
Operator: Our next question is from the line of Sandra Cauwenberghs from KBC Securities.
Sandra Cauwenberghs : Hi, thanks for the update. I still have one small question left. It's more around - it's for clarification with regard to the cusatuzumab follow-up trial. So what I understood is that you will do a triple combination, but I want to understand will you be able to generate some data on a double combination of cusa and venetoclax in terms of safety data, adverse events popping up on the combination of these two instructions in particular?
Tim Van Hauwermeiren : You're right, Sandra. There are two studies going on right. I mean, one is cusa with venetoclax, the couplet or the doublet as people call it. And then, we have the triplet. So these two studies are running in parallel. So we will actually be able to pick up any differences between the two treatment regimens if they would exist.
Sandra Cauwenberghs : Okay. Thanks.
Tim Van Hauwermeiren : Thank you.